Operator: Welcome to AB InBev's Third Quarter 2024 Earnings Conference Call and Webcast. Hosting the call today from AB InBev are Mr. Michel Doukeris, Chief Executive Officer; and Mr. Fernando Tennenbaum, Chief Financial Officer. To access the slides accompanying today's call, please visit AB InBev's website at www.ab-inbev.com and click on the Investors tab and the Reports and Results Center page. Today's webcast will be available for on-demand playback later today. At this time, all participants have been placed in a listen-only mode. And the floor will be open for your questions following the presentation. [Operator Instructions]. Some of the information provided during the conference call may contain statements of future expectations and other forward-looking statements. These expectations are based on management's current views and assumptions and involve known and unknown risks and uncertainties. It is possible that AB InBev's actual results and financial condition may differ, possibly materially, from the anticipated results and financial condition indicated in these forward-looking statements. For a discussion of some of the risks and important factors that could affect AB InBev's future results, see risk factors in the company's latest annual report on Form 20-F filed with the Securities and Exchange Commission on March 11, 2024. AB InBev assumes no obligation to update or revise any forward-looking information provided during the conference call and shall not be liable for any action taken in reliance upon such information. It is now my pleasure to turn the floor over to Mr. Michel Doukeris. Sir, you may begin.
Michel Doukeris: Thank you, and welcome, everyone, to our third quarter 2024 earnings call. It is a great pleasure to be speaking with you all today. Today, Fernando and I will take you through our third quarter operating highlights and provide you with an update on the progress we have made in executing our strategic priorities. After that, we will be happy to answer your questions. Let's start with our operating performance and the key highlights for the quarter. The global momentum of our business continued this quarter with the consistent execution of our strategy delivering revenue growth in more than 60% of our markets and overall EBITDA growth of 7.1% with margin expansion of 169 basis points. Organic growth and the ongoing optimization of our business delivered another quarter of double-digit underlying dollar EPS growth. As a result of our performance in the first nine months of the year and our continued momentum, we are raising our full-year EBITDA outlook to 6% to 8%. In addition, we have announced that we will be proceeding with a $2 billion share buyback program to be executed within the next 12 months. While the operating environment remains dynamic in some of our markets, the strength of our global footprint, brand portfolio and our focus on disciplined resource allocation are enabling us to invest for the long-term, while delivering efficient and profitable growth. Turning to our operating performance. Total revenue grew by 2.1% this quarter with our revenue management choices and ongoing premiumization, driving revenue per hectoliter growth of 4.6%. Volumes increased in 50% of our markets. However, growth was offset by a soft consumer environment in China and Argentina resulting in an overall volume decline of 2.4%. As we noted at our full-year '23 results, for 2024, the definition of organic growth in Argentina has been amended to cap the price growth to a maximum of 26.8% year-over-year. We delivered broad-based growth this quarter with revenue increases in more than 60% of our markets and EBITDA growth and margin expansion in four of our five operating regions. Our diversified geographic footprint enables us to deliver consistent results and has us well placed to drive superior long-term value creation. Now I'll take a few minutes to walk you through the operational highlights for the quarter from our key regions, starting with North America. In the U.S., the beer industry remains resilient improving in both volume and revenue trends quarter-over-quarter. Our beer portfolio gained volume share of the industry, driven by Michelob ULTRA and Busch Light, which were two of the top three volume share gainers in the industry. Our improved market share trend and productivity initiatives drove EBITDA growth of 13.7% with a margin improvement of approximately 375 basis points. Our business in the U.S. is regaining momentum, and we are continuing to invest to fuel the growth. Now moving to Middle Americas. In Mexico, our volumes declined by low-single digits, outperforming the industry, which was negatively impacted by adverse weather in a slower economic environment. Revenue was flattish, and EBITDA grew by mid-single digits with margin expansion. In Colombia, our business delivered high-single digit top line and double-digit bottom line growth with margin expansion. Beer volumes were flattish, while total volumes declined by low-single digits as the industry was impacted by a week-long national trucking strike in September. Our premium and super premium brands led our performance, delivering high teens volume growth. In South America, our business in Brazil delivered mid-single digit top line and double-digit bottom line growth with margin expansion of 174 basis points. Volume increased by 1.3%, led by our premium and super premium brands, which delivered volume growth in the low 20s. Now let's talk about EMEA. In Europe, we grew bottom line by low-single digits with further margin recovery. Volumes declined by low-single digits, estimated to have outperformance of soft industry in the majority of our markets. Our portfolio continues to premiumize with our premium and super premium portfolio, making up approximately 57% of our revenue. Performance was led by Corona, which delivered another quarter of double-digit volume growth. In South Africa, the momentum of our business continued, delivering double-digit top and bottom line growth with margin expansion. Volumes increased by low-single digits, with our performance driven by our above core brands, which grew volumes by high teens, led by Corona and Stella Artois. In APAC, in China, a soft consumer environment continued to impact the overall beer industry and our performance, particularly from continued weakness in the on-premise channel. As a result, our revenue declined by 16.1% this quarter. While the industry has had a challenging nine months, we continue to focus on controlling what we can control. The consistent execution of our strategy, investing in our brands and digital capabilities to drive value for our customers and consumers remaining disciplined with our cost and revenue management initiatives and agile with our commercial investments. We remain confident that we are well positioned to capture the future growth opportunities giving the consumer demand for our premium and super premium brands and our unwavering commitment to invest for the long-term. Now let's discuss our strategic pillars. Let's start with pillar one of our strategy, lead and grow the category. While our overall growth was constrained by performance in China, our mega brands continue to lead our growth. Increasing net revenue by 3.1%, led by Corona, which grew revenue by 10.2% outside of Mexico. With a more focused portfolio we are disproportionately investing in our mega brands to increase our brand power and drive efficient growth. Through the consistent execution of our replicable growth drivers, in our five category expansion levers, we are leading and growing the category by offering superior corporate positions, developing new consumption occasions and expanding our premium and the old beer portfolios. As part of our strategy to lead and grow the category, we view the non-alcohol beer segment as a key opportunity to develop new beer consumption occasions. The Olympics mega platform provided us with an unique opportunity to activate Corona Cero at scale across more than 40 markets. We gained market share of non-alcohol beer in over 60% of our key markets in the third quarter with Corona Cero more than doubling both volumes and revenues. While non-alcohol beer is currently a small portion of our global volume, we believe there is a significant opportunity for incremental growth, and we are committed to providing consumers with best-in-class liquids and brands to lead the development of the segment. Now let's turn to our second strategic pillar digitized and monetized our ecosystem. This continue to expand usage and reach, capturing approximately $12.1 billion in gross merchandising value, a 14% increase year-over-year and reaching 3.9 million monthly active users. Customer subsection improved with our Net Promoter Score improving to plus 66. This marketplace continued to grow, generating 9.5 million orders of non-ABI products and delivering $630 million in GMV this quarter, an increase of 51% versus last year. This is the equivalent of approximately $2.5 billion on an annualized basis. Now let's talk about our direct relationship with our consumers. Through our digital direct-to-consumer platforms, we generated approximately 19 million unique orders and 11% revenue growth this quarter. That's 19 million data points to generate deep consumer insights develop new consumption occasions and drive incremental revenue for our business. With that, I would like to hand it over to Fernando to discuss the third pillar of our strategy, optimize our business. Fernando, over to you.
A - Fernando Tennenbaum: Thank you, Michel. Good morning. Good afternoon, everyone. First, let me share how we have progressed on some of our 2025 sustainability growth in the first nine months of 2024. In climate action, we continue to focus on reducing emissions across our operations globally. Our scopes 1 and 2 emissions per hectoliter of production have improved by 46% versus our 2017 baseline. In water stewardship, our water use efficiency ratio improved to 2.47 hectoliters per hectoliter year-to-date versus 2.53% in the same period last year as we continue working towards our ambition to reach 2.50 hectoliters per hectoliter on an annual basis by 2025. Moving to our financial performance. Our EBITDA margin improved by 169 basis points this quarter with margin expansions in four of our five operating regions. Our leadership advantages, disciplined revenue management, continued premiumization, an efficient operating model create an opportunity for further margin expansion over time. Turning to our debt profile. You can see that our debt maturities remain well distributed with no relevant medium-term refinancing needs. We have approximately $3 billion worth of bonds maturing through 2026, a weighted average maturity of 14 years and no financial covenants. We delivered underlying EPS of $0.98 per share, a 14% increase versus last year. Organic EBITDA growth accounted for a $0.19 per share increase, which was mostly offset by translational FX headwinds. As we continue to optimize our business, improvements in below EBITDA items drove the balance of our EPS growth, such as lower net interest expense from active net debt management and continued deleveraging as well as lower cost of hedging and reduced FX losses. Given our continued progress on deleveraging, we have additional flexibility in our capital allocation choices. We remain disciplined with our capital allocation decisions, which we are dynamically balancing to maximize long-term value creation. We remain confident in the long-term growth of our business and have announced today that we'll be proceeding with a $2 billion share buyback program to be executed within the next 12 months. With that, I would like to hand back to Michel for some final comments before we start our Q&A session. Michel?
Michel Doukeris: Thanks, Fernando. Before opening for Q&A, I would like to take a moment to recap on the quarter. We have a resilient strategy that like beer works for all occasions. And we continue to make progress executing across each of our three strategic pillars. Driven by the continued momentum of our mega brands, we gained or maintained market share and delivered revenue growth in 60% of our markets. This marketplace continue to expand, increasing GMV of third-party products by 51% versus last year. EBITDA grew by 7.1% and giving our performance year-to-date we are raising our full-year outlook to 6% to 8%. As we continue to optimize our business, underlying EPS increased by double-digits and we are announcing the launch of a $2 billion share buyback program. Wrapping up, we continue to be encouraged by our operating results. and we are well positioned to take advantage of the opportunities ahead of us to generate superior value for our stakeholders. With that, I will hand it back to the operator for the Q&A.
Operator: The floor is now open for questions. [Operator Instructions]. Our first question come from the line of Rob Ottenstein with Evercore ISI. Please proceed with your questions.
Robert Ottenstein: Great, thanks you very much. So Michel, it looks like your market share in the U.S. is stabilizing, maybe even improving and the overall business is gaining momentum. So I was just wondering, it's been a long and tougher deal, could you assess and your thinking about the progress of the U.S. business? Any kind of tweaks or changes strategy kind of looking forward, levers to pull as well as key initiatives for 2025 to build on the momentum, maybe touching on Michelob ULTRA Zero. Thank you.
Michel Doukeris: Robert, good morning. Thanks for the question. Maybe step back for a second and talking about the U.S. We see that the industry remains resilient and actually improved in the quarter three versus quarter two. The latest data now that we see this month, we see further improvement. So I think that this is a good signal for the U.S. market. In terms of our strategy, we continue to make progress, and we discussed this before. In the U.S., it's all about rebalancing our portfolio towards growing segments while stabilizing our mainstream brands. And the consistent execution behind our brands are driving some very good outcomes. We saw this quarter Michelob ULTRA and Busch Light, for example, among the top 3 brands in volume growth, Michelob ULTRA actually led in the quarter that's #1. When you think about Busch Light in the Mainstream segment leading growth as well. And for a while, we didn't see a brand in the midstream gain share in such a consistent way. So very strong momentum for Busch Light. The bet that we have in terms of new brands, Corona doing very well, [indiscernible] doing well and especially when you look at the old beer, both cut water and neutral driving very, very good growth. So we have now this 1.8% share in this Spirit segment. But just to make the point, these two brands in the quarter represented more than one-third of the entire growth of the spirits industry in revenues in the U.S. So as we look forward, we will continue to invest to accelerate this momentum. Next year, you mentioned we have some new tools to play with. One that everybody is very excited with is Michelob ULTRA Zero, very good liquid. The brand itself represents this trend in the segment. And if we can add Michelob ULTRA growth with the Zero proposition, then you can see how much contribution this can bring to the entire system. So I think that is increasing investments, keeping the focus on what's working and further accelerate this momentum that we are building now throughout the year. Thanks for the question, Robert.
Robert Ottenstein: Thank you.
Operator: Thank you. Our next questions come from the line of Edward Mundy with Jefferies. Please proceed with your questions.
Edward Mundy: Good morning, Michel. Good morning, Fernando. So first question is around China. Michel, market, you're very familiar with. Perhaps you can unpack a little bit what's happened in this quarter. Is your view this as cyclical or structural? And when you think about potential recovery, what things will you be tracking for any signs of green shoots. And then, Fernando one on margins, pretty good margin recovery this year despite the challenges in Asia-Pac based on what you're seeing on key line items going into 2025 are there any flags that would suggest that profits won't be able to grow ahead of sales into next year.
Michel Doukeris: Hi, good afternoon. Let me take the first one here, and then I'll hand it over to Fernando. So in China, what we observe is a soft consumer environment that continues to impact the overall consumer goods, the beer market and also our own performance. So we just spent a full week in China. And at the end of the day, when you look at the overall conditions in the market, they are not deteriorating and too bad, but they are not good because consumers are holding on occasions and consuming less out of home. So you know that our footprint skews towards the East Coast, but a lot towards out-of-home and both the East Coast had some very bad weather conditions, but also people are going less to restaurants, bars, and out-of-home occasions. Our STWs lagged our STR sales because we keep an eye, especially after the summer on the inventories, and we want to have very fresh beer, very controlled inventories and making sure that our road to market is very healthy. So you know that we play the long-term gain in China always. So controlling prices, controlling the rough market, controlling inventories. So when conditions get better, our route to market and our brands can recover faster than competition. We didn't see an improvement in the short term, to be honest, other than the weather that looks more normal now as we phase from summer to autumn. And we think that not in the short term, things will improve too fast. But power of our brands, consumer demand remains healthy when the conditions are appropriated. We have some innovation working well under Harbing, which is gaining momentum and growing. So we are optimistic about that. And I think that we will take some time before we see the overall conditions in China improving but brands are health, grow-to-market health, inventories and health, and we have some good innovation play in our favor there.
Fernando Tennenbaum: Hi, Ed, Fernando here. So on your second question on costs, we don't give any specific guidance or outlook for costs into next year. And we are -- this year hasn't finished. So there are some prices that are still open. But if you look at the prices to date, 2025 seems like more of an ordinary year. So you should have some cost pressures, like some things like aluminum, a little bit of a cost pressure, some grains kind of in your favor, different effects by market, but overall, some cost -- but a normal year. I wouldn't, if you look like 2021, 2023, where we have this massive cost swings, this mono phenomenal year, more or less, I don't know how to say it, but more or less in line of inflation, if you look at current prices. But the one important thing, and we said that over and over again without being too specific about 2025, we said that when you look at our margins, I see no reasons why our margins would not improve. They kind of -- if you look at where they come from in three years, pretty much 2021 and 2023 have very high commodity increases way above the inflation. Now that things are getting more normal, we definitely see a path for margins to continue to improve going forward.
Michel Doukeris: And Ed, just implementing my answer because I think you put two questions the short term and the long-term in China, and I didn't mention the long-term. When you look at the fundamentals for the long time, the size of the industry, the premiumization and the power of our brands commanding both share gains and premium price, we don't see changes on that. So when you talk to consumers, when you see how retailers are developing, under the right conditions, how consumption is developing in China and we are gaining share of throat, which is a very interesting thing that's happening in China over and over again. So long-term fundamentals for us, they remain in place and the size of the price remains big in China long-term, okay?
Edward Mundy: Thanks.
Operator: Thank you. Our next questions come from the line of Sanjeet Aujla with UBS. Please proceed with your questions.
Sanjeet Aujla: Good morning, Michel and Fernando. A couple for me, please. Firstly, Michel, can you just dig into the Middle Americas region and give us a view of the consumer kind of broader macro landscape and how you're thinking about that into 2025? And my second question for Fernando, just coming on to capital allocation with the share buyback announcement today. I just wanted to get your view on how you're thinking about dividends versus buybacks. And I don't think in the past, you had rebalanced your dividends with the interim dividend as well, is that something you could potentially look to in the focus of time. Thanks.
Michel Doukeris: Hi, Sanjeet, good afternoon. So I'll take the first one and then Fernando the second. So Middle Americas, if you look at the year so far, we are seeing strength in the industry, very good performance and demand for our brands and very good performance across all markets. If you look at the short term, the short term was a little bit abnormal, and you had a little bit of everything, okay? So if you think about the weather, all these colder weather over the summer was real across Middle Americas, especially Mexico. If you think about the elections impact, you also saw an imbalance of money and government expenditure in Mexico on the first half of the year. So quarter three, quarter four will suffer a little bit more on this last government investments in Mexico. But then you can make cuts like in markets such as Colombia, where we have like record high volumes in sales to retailers again on the quarter three, you see market share healthy across majority of markets. And even if you look at Mexico now, we will see the phasing of this different government investments in the quarter four, quarter one next year, but the normalization moving forward, remittances in dollars remain strong. The fundamentals of the markets are very good because participation is going up. The brands are very healthy. Inflation is moving down across majority of the markets, salaries and purchase power is normalizing. So short term, a little bit of turbulence. When you look at the full-year impact is diluted, because the year looks very good. And moving forward, most of the fundamentals in place look very good for us. So we just think that there is some normalization happening now, and these markets remain very strong.
Fernando Tennenbaum: And Sanjeet, Fernando here on your second question. I would like to give a step back before discussing any specific trade-off. What do we aim to do with our capital allocation choices. And the key thing here is that the objective of our capital allocation choices is to maximize value creation. And that's kind of the most important kind of background without it, it's harder to understand. And when we talk about it, we have different options, we can deleverage, we can buy back, you can make different M&As, you can make the choice between dividends and share buyback. But we -- you can be sure that we remain very disciplined in our capital allocation decisions. And even though -- given where we are, we are having added flexibility. I think the share buyback speaks to that. If you look last year, we had a $1 billion share buyback. This year, we have a $2 billion share buyback. It's twice as much. So that speaks for the added flexibility that the leveraging is giving to us. And we'll continue to make this decision on a dynamic basis, because at a different moment in time, it's going to have a different optimal combination. Deleveraging remains a priority for us. And even if this added share buyback, we remain confident in our ability to continue to deleveraging. And I think overall, that it's kind of -- I think it's -- the business continues to perform well, very good cash flow and allow us the confidence to do this $2 billion share buyback. On your second part of the question, which is interim dividend. Interim dividend is much more of a cash management discussion than a payout discussion. We tend to look at the dividend on the full amount for the overall year. And in the past, when we were having a higher payout in order to balance the cash flows we had interim dividend. I think at some point in time, with a different dividend, we might introduce the interim dividend, but of course, nothing to share as of now.
Sanjeet Aujla: Thank you very much.
Operator: Thank you. Our next question has come from the line of Laurence Whyatt with Barclays. Please proceed with your questions.
Laurence Whyatt: Hi, thanks very much. A couple of questions for me as well. I just following on from that one about the share buyback. You mentioned that the buyback is going to be $2 billion now from $1 billion last year. I was wondering could you be precise as to why you chose that number specifically. You could have gone with $1.5 billion, you could have gone with $2.5 billion. Why specifically was that $2 billion this year. And then secondly, we've seen a bit of weakness across the European markets at ABI and across a number of other consumer staples companies. Do you think there's anything structurally going wrong within European countries with regards to why the consumers are behaving more weekly recently? Thank you.
Fernando Tennenbaum: Hi, Laurence, on your -- Fernando here. On your first question, on the share buyback. I think the key thing here is our capital allocation is dynamic. So we balance the different priorities at a given moment in time, seeing -- aiming to create value for shareholders. And as we continue to deleverage, we had other flexibility. So I think $2 billion speaks to that added flexibility and kind of -- it's twice as much as we had last year, and we have more flexibility this year. So I wouldn't try to elaborate a lot. It can have a lot of different numbers. You can have $1 billion, $1.5 billion, $2 billion. But I think $2 billion is twice as much, I think it speaks to the added flexibility and it speaks to the confidence in our ability to concentrate strong cash flows in our business.
Michel Doukeris: Michel here, Laurence. On Europe, I think that if you look at the quarter three, similarly to the comment I made on Mexico, you see everybody talking for whoever was in Europe over this summer. Summer was a little bit strange. So it was a weaker summer in terms of weather than what everybody expected. Nevertheless, we delivered flattish top line and we gained share in majority of our markets. If you look to the full combination year-to-date, Europe looks good in terms of share, good in terms of financials. And across some of the markets, we see consumers trading up in terms of beer, which is very good for our portfolio, because more than half of our brands are in the premium and super premium segments. You've seen some of the markets competitors chasing volume, so increasing promotional activities, downgrade their brands and competing in core minus value. We are more in the long-term game for premium, super premium. And therefore, our net revenue per hectoliter is above competition, and we are benefiting from channel shift, getting share on the premium super-premium segment. So we are not really competing on this core minus value changing volumes at this moment in Europe. And I think that as weather normalizes, then fundamentally purchase power continues to recover in Europe is gaining share of throat and gaining share of throat in some very relevant markets and our brands continue to have power above share, and therefore, the consumer demand is there as we continue to activate these brands. We expect to have positive results in Europe moving forward.
Laurence Whyatt: Understood.
Operator: Thank you. Our next question is come from the line of Mitch Collett with Deutsche Bank. Please proceed with your questions.
Mitch Collett: Thank you. Hi, Michel. Hi, Fernando. Two questions on the U.S. please. You talked earlier about the success you're having with Busch Light. So can you provide a bit more color on what's driving the strength of that brand and how should we think about its growth and share gain opportunity going forward? And then my follow-up, again, you mentioned the success of spirit-based RTD, which grew, I think mid-teens, how big do you think that the spirits based RTD segment can become for you? And are there any particular production constraints that we should be mindful of?
Michel Doukeris: Hi, Mitch, thank you for the question. So our U.S. business is regaining momentum, and we're investing to fuel growth where we have the biggest opportunities to grow our business and our brands in the U.S. So talking specifically about Busch Light. Busch Light is growing for many quarters in a row. It was the third fastest-growing brand in the industry this quarter. And again, looking at the mainstream segment also leading growth within mainstream. When you think about Busch Light, you can think like on this middle states in the U.S., the brand is like a 10 share brand. So think about the great lakes, Midwest, a corn belt in the U.S. If you look the rest of the country, the brand has 2% to 3% share. So in half of the country, 10% share in the other half of the country, 2% to 3% share. And this in itself presented some massive opportunity. The second point, this brand over-indexes a lot amongst legal drinking age to 24, 25 consumers. So it's an up-and-coming brand amongst the young consumers, legal drinking age consumers. And this is also very important, because it shows that the brand has a headroom that is very big outside of the core states, but also has a profile of consumers that can carry the brand for the very long term. And it's very well distributed when you go down older than that because the platforms that the brand activates are very interesting platforms, outdoor, lifestyle and continues to strength with this consumer cohort, on these consumer occasions and around these platforms. And we continue to see very strong growth in both off-trade, but also in the old trade. So consistent growth, consistent shelf gains, consistent debt gains and the brand is just like building from strength-to-strength. And as I said before, we continue to invest on this very, very good brand. And then changing from beer to the spirits-based ready-to-drink propositions. As I said, we have just 1.8% share in the spirits industry, but these two brands combined and represented more than one-third of the growth. So they are punching well above their weight so far. Production, of course, there is some small differences between the beer production that we do for ready-to-drink to then ready-to-drink spirits, but we have like a very good installed capacity to do that. Formulations are superior on our products, and this is what consumers are saying, and that's why the pool is very strong for those brands. They are growing more rate of sales today than distribution, but the distribution opportunity is massive, because we are still in very small distribution selected states. And when you look, for example, just to give one point, you go to California and Cutwater has a massive 40-plus percent market share there, but we are expanding California, West to East. And when you think about neutral, neutral in some states in the Southeast has like 20-plus share of ready-to-drink seltzers, but then we are expanding from the Southeast to the center to the west. So there is huge headroom for growth for both brands. They are very healthy with consumers, distribution gaps today are massive and production is not an issue. So we're going to continue to deliver, while the brands grow in a health path, which is rate of sales growing ahead of distribution. Thank you.
Mitch Collett: Great color.
Operator: Thank you. Our next questions come from the line of Chris Pitcher with Redburn Atlantic. Please proceed with your questions.
Chris Pitcher: Hi, thanks very much for the questions. Apologies, I missed a bit of the call, but I have two questions for me. I mean, firstly, on China, again, looking at the impact that the volumes has had on EBITDA. How flexible are you in terms of your media investment there? Are you able to course correct quite quickly and redeploy investment from China elsewhere in the region, which helped soften some of that negative operating leverage that would have been expected? And then secondly, could you give us a bit more detail on the Bs rollout in some of those markets where you don't have the big market shares that you do in Latin America, how well it's being received by retailers in Europe or the U.S.? Thanks very much.
Michel Doukeris: Thank you, Chris. So two interesting questions, and I'll take the China one first in twofold. So I think that the main message in China, as I said before is that long-term, we see fundamental things for the industry continues to be very good. So premiumization is in place. Our brands have very strong power and consumer demands and our route to market remains very healthy, which is very important for us. That's why I mentioned that our STRs are moving ahead of the STW because we want to keep fresh beer. We want to be as we always are with very healthy inventories in China. So if you look at the second message might be we are controlling what we can control, right? Which means investing on our brands for the long-term, having financial discipline costs, reallocating investments to the right brands, right regions, and that includes outside of China, which is a very interesting part of your question. And when you look at South Korea, for example, we are gaining share, having strong top-line, very strong bottom line is a more developed market where we are innovating a lot, leading the industry there and having very good results, and that is also true in India, where the industry is growing health, it has a lot of headroom to grow, we have an incredible performance in the premium segment, very strong brands with Budweiser and Corona and they continue to support and invest in these brands. Of course, the size of India versus China today when China industry doesn't come that is impossible to compensate within APAC. But again, long-term, it remains very solid. So making the comment on BEES there. So BEES today has a massive reach in China. It makes our roll to market even stronger. It give us visibility that most of companies do not have in China today, because of the multiple years. And just to give you a reference, we have over 300 cities that operate with this in China today. And over 70% of our total revenues, they come through this. So very massive implementation there, a very good view of that. And the second point, we always talk about beers being important for us, because it makes our business better. And this is true across any markets where we have direct distribution or even where we have indirect distribution such as U.S., Europe, China. And of course, when you have indirect distribution, the pace of implementation is lower than when you have direct distribution. But when you think about the second leg of this, which is very exciting, I mentioned during the call that our marketplace in this has a run rate today that's already above $2.5 billion in non-ABI products, and this is growing at a rate of over 50%. And this in itself is an incredible opportunity as we continue to gain share of wallet on what is sold for the point of sales, and there is a lot of headroom there. So big acceleration on the 3P model, meaning other companies selling two beers to the retailers, and this is a very profitable model for us that's growing and is accelerating our total GMV that goes through this. So continues to expand. It works in both areas where we have direct distribution, but also in indirect distribution in China has already a massive coverage, and we are very excited about the acceleration in marketplace that is already meaningful above $2.5 billion in GMV and growing 50%. Thanks for the question.
Operator: Thank you. Our next questions come from the line of Simon Hales with Citi. Please proceed with your questions.
Simon Hales: Hey, thanks. Hi, Michel. Hi, Fernando. So just a couple for me then. Firstly, sorry to come back again to the comments around the share buyback program. But I just want to understand Fernando, does the planned $2 billion buyback as it stands, include any capacity to potentially buy back stock from Altria if they were to choose to place again? Or would any participation in a further placing come on top of that £2 billion buyback. And then the second question, I wonder, maybe Michel, could you talk a little bit more about what you're seeing from a pricing and a competitive environment standpoint in Brazil at the moment? What you've seen in Q3 and perhaps more importantly, are we seeing any signs at all of easing price pressures, particularly from Metropolis as we head into the back end of the year?
Fernando Tennenbaum: Simon, Fernando here. So on your first question, I cannot speak to Altria's intention. So -- and we don't know what their intentions are, what they plan to do. We will continue to be execute our capital allocation and the whole framework, as I said is to maximize value for our shareholders and we remain very disciplined with our capital allocation priorities. But having said all that, and I repeated more than once that we have other flexibility given where we are in leverage. But of course, nothing else to share yet.
Michel Doukeris: And talking about Brazil. Let me start by coming back to the quarter. So solid quarter. EBITDA grew double-digit, margin expansion and, of course, the margin expansions of product of a top line health net revenues per to liter coming from both price and premiumization and discipline on cost management. If you step back then and you look at the industry, the industry is health is growing and continues to premiumize. So the structure of the industry looks very good. If you look at the share of throat in Brazil, is at historic levels. Brazil gained in share of throat over the last few years, and it's very, very healthy because it's not only gaining share of throat, but is also premiumizing. Talking about the competitive environment, I always repeat that Brazil is a very competitive market and is being competitive forever. Competition though today is in two very specific areas. And I think that you are referring more to the low end of the market where we under index and our competitors as a consequence over index. So we see a lot of faces there and share exchange among the competitors on the low end of the value segment. And the second part where there is a lot of competition today in the market is on the premium and our brands are competing very well there. We are gaining share in the premium side of the segment, very healthy growth with Budweiser, more in the Core plus side, very healthy growth for Spartan and original on the premium and Corona in the Super Premium is having like an incredible year in Brazil. The brand is performing very well, has a lot of headroom for growth and is gaining across all cohorts of consumers, and we know how strong the brand is. So once you put production in place, once we normalize the supply, so the brand has a lot of headroom to continue to gain share on the Super Premium while our brands on the premium are doing very well. And when you get this very strong portfolio of physical brands as I call, plus the superior digital products that we have in Brazil with that and this, then our revenue management capabilities come to play in a very strong fashion. So our prices in Brazil are healthy, and this is not being a constraint for us to grow volumes and continue to have healthy market shares in Brazil. So competition on the bottom, where competitors are trading share, competition on the top, we are gaining share, and we have a lot of momentum with our portfolio, especially with Corona, Spartan and Budweiser. Thanks for the question.
Operator: Thank you. Our next questions come from the line of Andrea Pistacchi with Bank of America. Please proceed with your questions.
Andrea Pistacchi: Yes, so thank you. I also have two, please. The first one is a general one on SG&A. So probably for Fernando. So besides in the U.S. where your SG&A is down this year. Also in other regions, your SG&A has grown at a pretty modest level this year completely below the levels of recent years. Are there any specific factors behind this, like a more conscious cost control effort across the group this year or efficiencies in any specific functional areas or I don't know, distribution costs are increasing less because most of the upfront investments for these and B2C is in the base now. Then the second question is on the U.S. Just going back to the recent share gains this year on the portfolio rebalancing Michel, do you feel there was a portfolio rebalancing that you had much discussed. Do you think the portfolio is now at a point or close to the point where you can continue to hold or even grow slightly going forward, even once you've lapped the easy comps next year.
Fernando Tennenbaum: Andrea, Fernando here. So before going to the specifics on SG&A, I'd probably would step back and look at our strategy. So Pillar 3 of our strategy is to optimize our business. And we've been doing a very strong effort to make sure that whatever money we're spending in the business is the desired return. So it's not about saving money, but it is about driving efficiency to get better returns. And this cuts across SG&A. And then you can see across all regions, but this also cut across CapEx, for example, you can look at our outlook for this year, the $4 million to $4.5 million is lower than the outlook we had the year before. And it's lower than the CapEx we spent two years before. So I think we are doing a lot of efforts on that. Then, of course, with new technologies on the digital, this -- you can always drive more efficiency on the business. I think this definitely helps on that. But of course, there are other things on the back office artificial intelligence and all the other things that we can do. So for me, more than any specific initiative, it's a mindset and I wouldn't point any specific silver bullet. Of course, you can point in the U.S. In the U.S., you have some kind of comps from previous years like wholesale incentives that we don't have anymore. That can explain a little bit of that. But the vast majority is really the mindset and look from incremental opportunities rather than kind of any silver bullet or any major initiative.
Michel Doukeris: Okay. So on the second part of your question, Andrea, as I said before, we continue to make progress on this strategy in the U.S. We have a massive business in the Mainstream segment and having these brands to stabilize and even grow like Busch Light is an important part of the job. And then we need to continue to develop our brands in the segments of the industry where there is more growth. As of today, we have close to 45% of our portfolio above Core segment. And this above part is growing, which is important, and we will continue to invest to drive growth there. The brands that we have in these segments that are contributing a lot are gaining scale. So think about Michelob ULTRA that continues to grow and as the brand gets bigger, we continue to have growth that sits from a bigger base. So that's a very important component. We see -- what's very interesting as well, very good momentum in the on-premise. As I said before, Busch Light is gaining a lot of momentum in on-premise. We have Michelob ULTRA accelerating its momentum in the on-premise. Today, it's growing faster in the on-premise than it is in the off-premise brands such as NUTRL, they have like a massive way for us in the on-premise, which is very interesting as well. As I said, the brand is under distributed nationally. It's under distributed in the off-premise but is growing faster than average on their on premise. And the up and coming brands such as Corona, they also disproportionately over index in their on-premise which is a very good indication of the potential of the brand for the off-premise. So we remain laser-focused on executing our strategy. One very important components of our strategy in the U.S. is rebalance the portfolio. Today, 45% of our portfolio is above core and growing, and we have the mainstream business that we need to get brands to stabilize and grow. We have today Busch Light, top 3 growth in the U.S., and we continue to invest on the other brands to get down to the right place. So thanks for the question.
Andrea Pistacchi: Thank you.
Operator: Thank you. Our final questions will come from the line of Celine Pannuti with JPMorgan. Please proceed with your questions.
Celine Pannuti: Good morning, good afternoon. My question, in fact, is one question and maybe Fernando to come back on your point about the opportunity for margin upside in the short and midterm. And clearly, you did well year-to-date. I wanted to -- if you could give me two specific points. First of all, in terms of the operational deleverage that you've seen from volume impact this year. Could you try -- could you help us quantify what has been the headwind in the nine months? And as we look into next year, thinking about what you said in a normalized environment, in terms of cost inflation. Can you specifically help us understand your ability to price, we discuss China mix, and we discuss as well Brazil. Is there other any regions where you feel that things may be tough as you look into next year? And if you could as well remind me how big premiumization is in your portfolio and what has been the performance? Thank you.
Fernando Tennenbaum: Hi, Celine. So a lot of questions into one. So let me start kind of -- on your first piece, like volume deleverage margins, what is normalized means, I think there are a bunch of things. Of course, more volume helps, but we have a meaningful scale and even for scale some small swings on volumes, you can optimize your network, optimize our distribution kind of you can do with that. If there is a massive volume one way or another, that's a different question, but we think the range that we are talking about. Definitely, we can optimize within that. What I mean by normalizing costs, if you remember, 2001, 2002 -- 2021, 2022 and 2023, the costs, they grew way ahead of inflation. They go -- it's something that we've never seen before. when I need a more normal year, you mean that you should have some cost pressures, but not anything that we cannot deal with. Not anything that is massively different than inflation, so similar to inflation. And then again, using current numbers, we don't have the full cost for next year locket. But with that and if your normal pricing dynamics, you definitely can continue to grow your business. You continue to find the opportunities to be more efficient in that. So that's what I mean by normalizing. Okay? And on your second part of the question, it's more on the pricing side, I'm going to move to Michel.
Michel Doukeris: Hi, good morning. Let me start answering the question in a way that I think is helpful to get the full picture. We are always playing the long-term gain. And what do I mean by that? So we continue to invest on our brands. And make these investments in a very efficient way. I think that this complements the SG&A question that we had before because as we leverage all these mega brands portfolio, and we combine this with the mega platforms and big activation programs that we have, we can build a lot of efficiencies into the system while continue to reach more in a more meaningful way our consumers. And because of that, the brand power of our brands globally continues to grow. So the preference for our brands globally is growing and achieve very high levels during the quarter three, and as we continue to play this long-term game, we believe that we should continue to commence prices on our products in line with inflation and in line with our ability to price for the long-term. And because of that, there were some normal shifts in some markets has implemented our price actions during this quarter, while our market share continues to be healthy on an annualized basis. So prices, long-term inflation, net revenue will be a combination of this price with the premiumization and we still have less than 40% of our volumes today in the above Core segments. So there is a lot of headroom to continue to premiumize. And of course, as the mega brands grow ahead of the entire portfolio, this also drives a lot of efficiencies, Efficiencies in the sales and marketing, efficiencies on the production costs that will yield better margins for us. So play the long-term game. Brands are very health and health brands should command premium price as we have premium price and efficiencies on our marketing activations behind the mega brands portfolio, which should drive margins up. So it's a long-term game. We are executing our strategy, and we are encouraged by the outcomes because we see all components coming together very well. So thanks for the question.
Operator: Thank you. This was the final question. If your question has not been answered, please feel free to contact the Investor Relations team. I will now turn the floor back over to Mr. Michel Doukeris for closing remarks.
Michel Doukeris: Thank you. So thank you for all your time today. Thank you for the ongoing partnership and support for our business. Stay safe and well and talk soon.
Operator: Thank you. This concludes today's earnings conference call and webcast. Please disconnect your lines, and have a wonderful day.